Executives:  Lynn C. Pieper – Managing Director, Westwicke Partners LLC Michael H. Carrel – President and Chief Executive Officer M. Andrew Wade – Vice President and Chief Financial Officer
Analyst:  Thomas Gunderson – Piper Jaffray Jason Mills – Canaccord Genuity Danielle Antalffy – Leerink Partners 
Operator:  Good afternoon and welcome to AtriCure’s First Quarter of 2014 Earnings Conference Call. My name is Sue, and I’ll be your coordinator for the call today. At this time, all participants are in listen-only mode. We will be facilitating a question-and-answer session towards the end of today’s call. As a reminder, this call is being recorded for replay purposes. I’d now like to turn the call over to Lynn Pieper, AtriCure’s Investor Relations Consultant from Westwicke Partners for a few introductory comments.
Lynn C. Pieper:  Thank you. By now, you should have received a copy of the earnings press release. If you’ve not received a copy, please call 513-755-4136 to have one e-mailed to you. Before we begin today, let me remind you that the company’s remarks include forward-looking statements. Forward-looking statements are subject to numerous risks and uncertainties, many of which are beyond AtriCure’s control, including risks and uncertainties described from time to time in AtriCure’s SEC filings. AtriCure’s results may differ materially from those projected on today’s call. AtriCure undertakes no obligation to publicly update any forward-looking statements. Additionally, we may refer to non-GAAP financial metrics. A reconciliation of these non-GAAP measures with the most directly comparable GAAP measures is included in our press release, which is available on the company’s website. With that, I’d like to turn the call over to Mike Carrel, President and Chief Executive Officer of AtriCure. Mike?
Michael H. Carrel:  Thank you, Lynn. Good afternoon and thank you for joining us today. We’re off to a promising start to 2014, and we are pleased to report a strong first quarter results. I’ll start today’s call with a quick overview of our results for the quarter followed by an update on the business, new product developments and our clinical trial progress. Then I will turn the call over to our CFO, Andy Wade, who’ll provide an overview of our financial results. After that, I’ll come back to make concluding remarks and open it up for questions. First, based on the strength of our quarter, we are updating our guidance for 2014 to a revenue range of $101 million to $104 million, reflecting growth of approximately 23% to 27% year-over-year on a GAAP basis. This includes contribution from products acquired in the recent Estech acquisition. Andy will get into more detail about our financial performance and outlook in his section. Turning to the quarter, our first quarter revenue reached $24.8 million or an increase of 28% compared to the first quarter of last year. Growth was balanced across both U.S. and international with great strength on the international side. Highlights of our U.S. performance for open heart sales, which were up 14%, and AtriClip sales, which were up 52% in the quarter. Our solid international sales were driven by key contributions from the UK, Germany, Italy and China. We are now reporting OUS sales by product category, and in the quarter, OUS open was up 22% OUS MIS up 50% and OUS clip sales up 122%. Moving to the integration of Estech. We are pleased with the progress that we have made integrating our teams, products and development activities. Our early experience confirms that we’ve added the right products, pipeline and people to further cement us as the leaders in development of technologies to treat Afib and related conditions. More specifically, and more importantly, at this point we have fully integrated two sales forces, started cross training the teams in the field and at our global training meeting in February, ordered the Estech generators for our customers and our field, and will soon be consolidating the sales order process. Additionally, Estech had 52 people when we acquired them early in the quarter. By the end of the quarter, 27 remained and were likely be down to 20 by the end of Q2, and 16 by the end of the year. Most of those remaining are in sales, sales support, customer service, and product development. As expected, and discussed on the last call, in U.S. Estech ablation product sales started slow, as we started the integration and training, and sales started to ramp nicely as the quarter came to an end. Our U.S. sales force did not receive their major training anesthetic products until late February at our Global Training Meeting, and as such we saw slow January and February, and the up tick in March. We continue to expect contribution from Estech products to ramp throughout 2014 as we get our sales force fully trained. Given Estech’s presence internationally, we experienced a strong contribution from Estech product revenue in the quarter, which we expect to continue. As for our training and education initiatives in the U.S., we are gaining momentum around our efforts. We are now moving towards more advanced courses. We hosted two such advanced training courses this quarter, and both were filled to capacity. To provide a bit more color, these are smaller courses designed to be very impactful, and they are. The attendees, and they fall into two different categories. One, those who have previously been to didactic training, and were at the advanced course to improve their skills with our solutions, and two, physicians that have recently completed the basic needs for training course, then opted to stay afterwards for a more advanced teaching, and to apply what they’ve learned in a hands-on setting. Overall, we continue to see strong and increasing interest in training on the safe and effective use of AtriCure products. At the same time, physicians, providers and payers are actively seeking better ways to treat and manage Afib. Increasingly, providers are looking at developing integrated Afib treatment centers that bring multiple disciplines together to deliver the most effective and efficient care including the surgical treatment with AtriCure products. Internationally, our education and training initiatives are also gaining traction. We have partnered with leading Afib centers in the European union to provide best-in-class training on surgical cardiac ablation and formed a Maze IV European Educational Steering Committee that includes many of Europe’s most innovative, experienced and highly regarded physicians involved in the treatment of Afib. We’ve accelerated our training programs and have now conducted four Maze IV training courses in Italy, the UK, China, and Australia. In 2014, we plan to conduct 10 surgical cardiac ablation training programs outside of the U.S. These courses are just one tool of many we are using to train physicians. We will continue to offer courses and scientific programs in conjunction with Medical Society Meetings and Congresses around the world, as well as explore other methods of meeting, the growing demand for training and education in this space. Now turning to business trends. In the first quarter, U.S. open heart revenue was up 14% compared to the same period last year. We continue to build momentum on the early gains of our investments in education and training, which we are confident are resulting in sustainable growth opportunities. On that note, I’d like to share an exciting competitive win in the U.S. We now have 100% of the surgical cardiac ablation business at a former competitors’ account, Mission Memorial in Asheville, North Carolina. Dr. Mark Groh in Mission Memorial shared AtriCure’s passion vision for improving the lives of Afib patients. Dr. Groh is internationally recognized as an innovator and leader in the surgical treatment of Afib and AtriCure is proud to partner with him and Mission Memorial going forward. AtriClip again contributed meaningfully to our U.S. growth rate in the quarter, with growth of 52% over last year. We are seeing increased evidence that management of the LAA and Afib patients continues to gain acceptance. In mid-March, the international symposium on left atrial appendage or SLA took place in Orlando. This symposium was led by Dr. Loka Reddy of the University of Kansas and had an attendance of over 140 physicians, including many leading EPs and interventional cardiologists. Exiting the symposium, we have increased confidence, our technologies for the management of the LAA will be a sustained growth driver. As we expand our education in training programs through this area, we expect to continue to see increased utilization, competitive share gains and cross-selling opportunities. MIS sales in U.S. were up 10% in the quarter. Note that this includes contribution from the Estech products. The integration is still in the early phases. So Estech’s Fusion sales were modest, but did contribute to the growth. As we communicated last quarter, we will not be providing a breakout of the Estech’s production contribution by product category. However, to provide some color, Estech’s Afib products are largely used in MIS procedures and majority of Estech’s U.S. sales are reported in the MIS category. Encouragingly, we’ve already seen many AtriCure customers adding Estech products to the surgical ablation procedures to complement the AtriCure products that that they were already using. As to the underlying U.S. MIS market, after four years of declines in our business in 2013, the MIS business stabilized and grew, but at a modest pace. Q1 was no different and we expect the modest growth to continue throughout the year with some improvement driven largely by the Estech Fusion product line. We expect that when results of our ongoing clinical trials are available, that data will drive significant growth in the MIS segment long-term. International revenues were $6.7 million for the quarter, an increase of 40%. Sales were up significantly across the EU, especially in the UK, Germany and Italy. Asia was also strong in the quarter with particularly strong growth in China. Operationally, our gross margin was 71% for the quarter, and our net loss was $7.7 million or $0.31 per share, both in line with our expectations. This included $2.6 million or $0.10 per share on expenses related to transitioning the Estech business into AtriCure. The remaining increase in operating expenses was driven primarily by an increase in selling, marketing and product development and training expenses. The integration of our acquisition of Estech has been successful to-date. And our overall operating expenses were higher in the first quarter of 2014, compared to 2013. They are in line with our expectations, and investments in our operating structure, and we are maintaining our adjusted EBITDA guidance for the year. Moving to an update on our clinical programs. We have enrolled 285 patients in our ABLATE post approval study, up from 258 as of our year-end call. All 50 sites are online, up from 48 sites at the end of last quarter. We have also submitted a protocol amendment to the FDA to increase the enrollment by up to 40 patients with the expectation that we’ll add between 20 patients and 40 patients. We anticipate the amended protocol to be approved shortly, and continue to expect to complete the enrollment by the end of this year. On the Staged DEEP AF trial, we are on track to submit our pivotal trial protocol to the FDA in the second quarter. They recently had a meeting with the agency, in which we received positive feedback. And we are on the final stages of working with our scientific advisory board in preparing our protocol for submission. We submitted 30 day safety data on the feasibility trial patients in February, once all the patients have completed the follow-up. Moving on to our stroke trial. I’m pleased to report that five of the seven sites have received IRB approval. We anticipate that the first study procedure will take place in the current quarter. As you may remember, this is a seven site 30 patient feasibility trial, with primary safety evaluations at 30 days and six month follow-up. We expect to have enrollment complete by the end of 2014. We are simultaneously in discussions with the FDA on the protocol for the pivotal phase of this trial. We’re still in the early stages. So stay tuned for more details in the upcoming quarters. In summary, 2014 is off to a solid start. We will continue to focus on investments in education, innovation in clinical science, which we believe will fuel long-term growth. I’ll now turn the call over to Andrew Wade, our Chief Financial Officer.
M. Andrew Wade:  Thank you, Mike. From the first quarter of 2014, revenue increased 27.9% to $24.8 million. Revenue from product sales in the U.S. was $18.1 million, an increase of 23.9% from the first quarter of 2013. Revenue from open chest ablation-related product sales in the U.S. increased by approximately $1.3 million to $10.4 million, and U.S. sales of products used in minimally-invasive procedures increased approximately $316,000 to $3.4 million. U.S. sales of the AtriClip system during the first quarter of 2014 were $3.6 million as compared to $2.4 million for the first quarter of 2013, an increase of 51.7%. International revenue grew 39.9% on a GAAP basis, and 36.4% on a constant currency basis as compared to the first quarter of 2013 to $6.7 million. Valve tools sales totaled approximately $1 million worldwide, $698,000 in the U.S., and $287,000 in the international markets. Gross margin for the first quarter of 2014 was 71.1%, as compared with 72.5% for the first quarter of 2013. As expected, the sales of products acquired in the Estech transaction put some pressure on the overall gross margin. Additionally, the international sales mix was higher in 2014, which also has a negative impact on gross margin. Pricing remained relatively steady. Operating expenses increased 61% or approximately $9.7 million from $15.9 million for the first quarter of 2013 to $25.6 million for the first quarter of 2014. Research and development expenses, which include clinical activities were $4 million for the first quarter of 2014 or 16.1% of sales, an increase of $495,000 over the first quarter of 2013. SG&A increased approximately $9.2 million from the first quarter of 2013 to a total of $21.6 million or 86.9% of sales. The increase was due primarily to increases in selling, marketing, product development and training costs. Our operating loss for the quarter was $7.9 million as compared with approximately $1.8 million for the first quarter of 2013. Our adjusted EBITDA loss was approximately $4.7 million compared to an $820,000 adjusted EBITDA loss for the first quarter of 2013. Note that our EBITDA loss in Q1 includes approximately $2.6 million of costs related to transitioning the Estech business into AtriCure. Our net loss per share was $0.31 for the first quarter of 2014, compared to $0.10 for the first quarter of 2013. We ended the quarter with $79.4 million in cash, cash equivalents and investments. Additionally, we had approximately $9 million of borrowing capacity, under the revolving portion of our credit facility. Note that we paid off the $6.3 million remaining balance of our term loan during the quarter. We also had heavy burn during the quarter due to the payment of transaction related expenses for the Estech deal, including transitional payroll, severance retention and professional services fees. Lastly, we’re positively adjusting our guidance for 2014. We anticipate top line growth of approximately 23% to 27% year-over-year for a range of $101 million to $104 million on a GAAP basis including the contribution of the products acquired in the Estech acquisition. For modeling purposes, we continue to expect sales from Estech products to ramp up throughout the year with a greater contribution in the second half. We anticipate gross margin to be approximately 70% to 72% for the year, based on current trends. This does represent a decrease from the 2013 reported gross margin, due primarily to a slightly lower relative gross margin, on acquired products. A strong international mix along with Estech transaction related costs. We’re still targeting, long term gross margins of 75%, and we believe this is achievable. We expect R&D to be 19% to 20% of sales and we expect SG&A to be roughly 72% to 74% of sales in 2014. These figures include approximately $3.5 million in transaction costs related to the Estech acquisition. Outside of the transaction related expenses, we anticipate increased spending related to clinical science, R&D, selling, training, education, and international expansion. We expect adjusted EBITDA for 2014 to be a loss in the range of $9 million to $10 million, including transaction related costs, which we estimated at $3.5 million. As noted earlier, $2.6 million of this was realized in the first quarter. As previously disclosed, we expect the Estech transaction to be dilutive to earnings in 2014 and accretive in 2015 and beyond. Finally, we anticipate an increase in net cash burn for 2014 versus 2013 due to the expense items just described, along with working capital and capital expenditures needed to support our growth strategy. At this point, I would like to turn the call back to Mike for closing comments.
Michael H. Carrel: Thank you, Andy. In sum, we’re off to a good start in 2014. AtriCure is positioning itself as a leader in the treatment of Afib and we will continue to set the foundation for the company to achieve consistent future growth. We support our positions with solutions they need for their patients by delivering to the market a full suite of innovative and unique products and continuing our commitment to training and education. We look forward updating you on our progress during future calls and we’ll now open the call to questions.
Operator: Thank you. (Operator Instructions) Thank you. And your first question comes from the line of Tom Gunderson, Piper Jaffray. Please go ahead.
M Andrew Wade:  Hello.
Thomas Gunderson – Piper Jaffray: Question on U.S., one question on international.
M Andrew Wade:  Okay.
Thomas Gunderson – Piper Jaffray: The U.S. question is, I’m curious about what we’ve called the same-store sales in the U.S., you’ve been on a huge ramp of training and getting new guys in and getting old guys back up to speed. I’m curious if you’ve looked at some of those maybe late 2012 stocks that came back into the fold or early 2013 stocks and what kind of experience you’ve seen with their programs?
M Andrew Wade: Great question, Tom. What we’re seeing from an expense, we do look at actually we track people that come to training and their revenues six months before, six months out, nine months before the training and then 12 months. And it’s actually very consistent in terms of the number that we’re seeing. Overall, we’re seeing an increase and those that are actually coming through the training process that we’re seeing about a 30% overall net increase. What’s interesting about that is that, we’ve got about 67% to 70% increase in those that are actually have to see increases and then there are some accounts that maybe doctor has moved on or they’ve moved to different sites, and so we’re seeing some decreases, so actually in those accounts that are increasing we’re seeing even a larger number there. So we do track that, look at that very closely, and we’re seeing some good penetration. I know on previous calls we’ve talked about the fact that some of our gains were based on share gains, and I think and it was a 50-50 split I talked about before. And now I think we’re starting to see more coming from same-store sales to use your terminology, where more of those sites are actually buying from us, and then we’re getting increased penetration there. Just because we don’t have as much, as many competitive accounts to necessarily turn that quickly anymore.
Thomas Gunderson – Piper Jaffray: And you said 50-50, is what it was, just venture where it might be now?
M Andrew Wade: It’d be somewhat of a guess because I don’t know for sure, but I mean it’s moving probably more towards that 65-35 or so range, maybe 75, but it’d be – it’s a guess. We are still getting some competitive wins, but it’s not as large as when it was before.
Thomas Gunderson – Piper Jaffray: Got it, thanks. And then the international question is, you mentioned plans for 2014 of international expansion in Q1, was any of that larger than expected number adding new countries?
M Andrew Wade: It was not. We had a couple of cases in France, so we actually had our first shipments there, but it was a de minimis amount of revenues in that. A lot of our growth was just the investment that we made over the last 16 months or 17 months in the international infrastructure. It is starting to gain traction in all the areas. The UK, Germany and China are some of the key ones. UK, Germany and Italy were really driven a lot by also getting Estech’s sales. The Estech had a great international presence. I think I have mentioned in the call before, that’s really where we saw a tremendous amount of growth was on the Estech’s side. And the integration was a lot smoother in Europe only because we weren’t kind of playing in putting two forces together, what we’re doing there is we were kind of – it was more of a bolt-on. So, we could kind of split Germany up. We could add presence in the different area and there were so many different accounts. Whereas in U.S. it was really basically just rationalizing the sales forces and putting them into one.
Thomas Gunderson – Piper Jaffray: Got it. Thank you.
M Andrew Wade: Yeah.
Operator: Thank you. And your next question comes from the line of Jason Mills, Canaccord Genuity. Your line is open. Please go ahead.
Jason Mills – Canaccord Genuity: Thank you, operator. Congrats on a great quarter, Mike and Andy. Can you hear me?
M Andrew Wade: Yeah, loud and clear.
Jason Mills – Canaccord Genuity: Great. And so, my first question is sort of correlate Tom’s questions. Specifically organic growth and I understand it’s kind of a complicated answer are at least some supposing it is, you’ve got organic growth in the base AtriCure business and then you’re adding Estech from based on due diligence. Obviously, the Estech is augmenting sales at the same time you’re melting it down. I would suppose maybe in some cases, where they would have used AtriCure products, may now be using Estech. So there is sort of a brighter lines there. But, I’m wondering, if you could tell me just as best you can on a Pro forma basis, the trends that you saw exiting 2013 second half of 2013 in organic sales. The trends in organic sales in Q1 and what you expect going forward taking into account sort of that phenomenon where you have the brighter end of line.
Michael H. Carrel: I think you stated it well, there is a little bit of blurring in the lines that’s typical to give specific numbers on that, but I would say that thematically maybe as opposed to trends hopefully this helps out a little bit Jason. If you look on the international side of the market, we saw faster growth for share both on organic and on adding up the Estech product line. I am adding, those are basically growing at a very nice pace and we really saw some of the investments that we made in 2013 start to take fold. If you recall last year, our growth rate in the U.S. was faster than international. And I’d originally anticipated that the international would grow a little faster, but these investments really had to take hold and we started to see that quite a bit. And we also saw because of those investments it was really simple to integrate the Estech team and technology. So that was on the international front. When you think about on the U.S. side of things, I’d say that let’s take it on kind of our product or kind of product category area. If you look on the open side of our business, we continued to see nice growth on that front, consistent with some of the numbers that we saw before. There is a little blurring of the lines primarily because on the Estech side, they did have clamps. They did have some open business. We don’t – that actually is a shrinking portion of the portfolio. There wasn’t a lot of focus with our team and the kind of the movements on the sales force there. But overall, we believe that it’s pretty consistent. The clip sales continue at a nice robust pace consistent, I think that’s pretty easy to kind of break out because they did not have a clip technology. And then on the MIS side, we really had kind of a flat, probably slightly down or so with Estech making most of it, which is consistent with the messaging that we gave last year, which was, hey we thought we had seen the bottom of kind of where we were. We did see more growth last year than we expected on MIS and I think I’ve been trying to really guide everybody to understand that the MIS side of the business, we got to get our trial up and running and going. We will get boosted and bolstered by the MIS business coming from Estech, and that’s really where we seen most of the upside. Hopeful that gives some context. So there is a little slower growth on the MIS without – from a trending from last year, but that was – I mean a lot of it just kind of bringing in this new product line and is some of the Estech’s staff taking that over, that’s where you get a lot of blurring of alliance.
Jason Mills – Canaccord Genuity: Kind of different question, but actually – basis I think on a supplement it with this one, which is as you get the base trial up and running, obviously I think prudently we should probably assume that it’s going to be a while when you – until you see that data and perhaps on the presentation of that data is when you really start to see the market were clear in MIS, but what do you expect in the interim during the course of a pivotal trial? Are you expecting that to be similar to the tide that lifts the boat?
Michael H. Carrel: I’d be conservative on that. I mean, I think typically you will likely see that many companies when they do get their trials up and running. But our plans and as we’re building on our business, we’re just assuming that it’s going to be modest growth other than what we’re seeing from the Estech side of things, modest to very low growth on the what was the AtriCure products and adding on the Estech products on top of that should see some top line growth. But I’d say my answer is pretty consistent on that. This year, in 2014, there won’t be much, just because the trial we’re going to submit here, hopefully very soon. Once we get that submitted we’ll have time to go back and forth with the FDA with the goal of getting approved by the end of the year, and really being in trial sometime next year. Could there be an up tick relative to that? There absolutely could be, but I’m all conservative to bank on it.
Jason Mills – Canaccord Genuity: Okay. How much of you, because you think the question I wanted to ask is important. There is another company, that CEO joined your board is long term growth prospects and our view are quiet good, their sales force added, they caused some disruptions in one of his businesses and I know you don’t want to talking about. But just wanted to ask you specifically as you look out over the next 12 months and then you’re adding sales and marketing and doing internal training. If you could foresee or should we be aware of any period of time where your reps maybe training your new reps or training sessions maybe heavy, that we should be aware of?
Michael H. Carrel: No, I’d say that the biggest disruption really was in the first quarter for us. We put two different organizations together, did new training and net new products. So this is a really heavy quarter for that type of training force in the U.S. market, which is why long term we feel really good about it. And we’re not adding as many as others are adding from that standpoint. We’re growing, I think we’re about 42 direct reps today, and we’ll probably, as we’ve talked before between 42 direct reps and 45 direct reps or so by the end of the year, so we’re not adding as many right now in terms of territories.
Jason Mills – Canaccord Genuity: Thanks Mike.
Operator: Thank you. And your next question is of Danielle Antalffy. Your line is open. Please go ahead.
Danielle Antalffy – Leerink Partners: Hi, good afternoon guys. Congrats on a great quarter. I had a clinical question and then a sales question for the quarter. So on the clinical side of things with the stroke trial, will you move on to a broader trial once you see safety data or do we have to wait for the six months follow up, so that we see some efficacy data as well before you pursue a broader or more broad based trial?
Michael H. Carrel: We’re going to have to see some safety data, but it depends on really the FDA. If we’re starting to see that we’re in parallel conversation to them, so we’d love to accelerate it and show them the data from quite frankly the deep feasibility trial where we did a Clip on every one of the patients and the fact we’ve got a lot of these out there already that have been deployed safely. I mean, so we’re trying to leverage that in our conversations, but we’re not going to bank on it at this point. We’re going to try to get this trial up and running, get these 30 patients and hopefully they’ll feel comfortable, if that’s earlier, so we’re doing a farewell path.
Danielle Antalffy – Leerink Partners: Okay, great. And then a question on any potential sales synergies in the quarter. Estech did have a few accounts, I think that you guys were not in. Have you guys been able to penetrate those accounts and how much are you seeing from a sales synergy perspective, on both sides of the equation?
Michael H. Carrel: I’d say it’s to be told on their accounts, because as you might expect near the end of an acquisition at the end of last year their accounts had all sorts of different items that we’re kind of going in and out and there was a continuous sales force at the end because we announced it before the end of the year. I’d say that we’re starting to get some synergies in their accounts, starting a build relationships, but I wouldn’t say that there’s a lot of synergy and bring our net new products into their sites yet, because we’ve got to build trust into a new site, but we had to know those or have those relationships before. And so that’s going to take a little bit of time. I think the synergies on that front will really come near the end of the year and then into next year. We’re seeing – now we all guys have good relationships in our accounts. We’re starting to bring in some of the Estech products and we’re starting to see them being used and we’re definitely starting to see some synergy on that front in the U.S. market. On the OUS side, it’s a little more synergy that we’re definitely seeing in terms of the teams working really well together, again because the bolt-on made that a little bit easier from that standpoint.
Danielle Antalffy – Leerink Partners: Okay, perfect. Thanks guys.
Michael H. Carrel: Thanks.
Operator: Thank you. I would now like to turn the call over to Mike Carrel for closing remarks. Please go ahead.
Michael H. Carrel: Well everyone, thank you very much for joining us today and participating in the call and your interest in AtriCure. Have a great evening. Talk to you soon.
Operator: Thank you for your participation in today’s conference. This concludes the presentation. You may now disconnect. Thank you.